Operator: Good afternoon and welcome to Marvell Technology’s Fourth Quarter and Fiscal Year 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mr. Ashish Saran, Vice President of Investor Relations. Please go ahead.
Ashish Saran: Thank you and good afternoon, everyone. Welcome to Marvell’s fourth quarter and fiscal year 2022 earnings call. Joining me today are Matt Murphy, Marvell’s President and CEO; and Jean Hu, our CFO. I would like to remind everyone that certain comments made today may include forward-looking statements, which are subject to significant risks and uncertainties that could cause our actual results to differ materially from management’s current expectations. Please review the cautionary statements and risk factors contained in our earnings press release, which we filed with the SEC today and posted on our website, as well as our most recent 10-K and 10-Q filings. We do not intend to update our forward-looking statements. During our call today, we will refer to certain non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is available in the Investor Relations section of our website. With that, I'll turn the call over to Matt for his comments on our performance. Matt?
Matt Murphy: Thanks, Ashish, and good afternoon, everyone. Let me start with the recap of the exceptional results Marvell delivered in fiscal 2022, an absolutely pivotal year for the company. We saw a substantial increase in design wins, the completion of two significant acquisitions, and strong revenue growth with great momentum in all our businesses. Our 5-nanometer technology platform, along with the rest of our data-centric IP portfolio, proved to be a key enabler for winning new opportunities in all of our focus markets. Our sales and product teams did a tremendous job securing new sockets and drove a record level of design wins in fiscal 2022, a big step up from the prior year. Fiscal 2022 was also a breakout year for our cloud optimized silicon platform, winning a sizable number of important sockets, which we expect will drive significant revenue for the company going forward. We remain focused on extending our leadership in process technology and advanced packaging. Our engineering teams are driving the architecture and design of our complex analog and mixed-signal IP to 3-nanometers. They are also advancing chiplet and 3D packaging technologies to support the integration of multiple advanced process nodes inside a single package. During the year, we completed the integration of Inphi, a transformational acquisition that substantially increased our participation in the fast-growing cloud data center market. The Marvell and Inphi team share very similar values founded on engineering excellence, innovation, and a passion for our customers' success. The teams have integrated exceptionally well across the company and are jointly taking our capabilities to new heights. Inphi's position at the core of cloud data centers has given the team unique insights into next-generation network architectures. The Inphi team has developed deep relationships with Tier 1 cloud customers, which has been instrumental in unlocking additional opportunities for the combined company, including the success of our cloud optimized silicon platform. The transaction, which was accretive to non-GAAP earnings within the first full quarter after close has been a resounding success, delivering revenue in fiscal 2022 above our deal model. We further complemented our cloud business with the Innovium acquisition, adding their leading cloud optimized switches to Marvell's feature-rich enterprise and carrier switch portfolio. The Innovium team is fully integrated and are leveraging Marvell's 5-nanometer technology platform and extensive SerDes IP to accelerate the road map for our next-generation 51.2 T switches. This development is closely aligned with our electrooptics DSP roadmap to provide customers with a complete solution optimized for power and performance. The combined Marvell and Innovium Ethernet switch portfolios are proving very attractive to data center customers, among them, a new design win at a Tier 1 cloud customer in Asia. We are also engaged with multiple additional customers and are looking forward to further expanding our footprint in this fast-growing market. Moving on to revenue. In fiscal 2022, revenue grew 50% year-on-year to $4.46 billion driven by robust demand for our products. The organic Marvell business and the acquired Inphi business were both strong contributors to growth. Our results reflect our success in the cloud, 5G, and automotive end markets, which collectively doubled in revenue from the prior year. Our enterprise networking end market also had a phenomenal year with revenue growing 43% year-over-year. Later in the call today, you will hear more details about the start of an extended period of infrastructure refreshes in the enterprise market. We expect that these, combined with share and content gains from our merchant products, will produce enduring growth in our enterprise business. And not only that, you will also hear me talk about a new driver of revenue growth in the enterprise networking market. Shifting gears to our fourth quarter, we delivered a record $1.34 billion in revenue, growing 11% sequentially and 68% year-over-year. Revenue exceeded the midpoint of guidance with all end markets growing sequentially and year-over-year. Of particular note, cloud and enterprise networking delivered stronger than projected contributions. Cloud, 5G, and auto collectively increased to 40% of total revenue in the fourth quarter. We exited fiscal 2022 with record bookings momentum and opportunities for accelerated growth across our business going forward. We continue to win in the market as our customer look to expand the scope of their engagements with Marvell. Our operations team continues to secure capacity, and we’re tightly engaged with our strategic suppliers. Growth in demand continues to outstrip increases in supply. And as a result, our delinquency has continued to grow. We are working closely with our suppliers to secure additional capacity wherever possible. Let me now move on to discussing our five end markets, starting with data center. In our data center end market, revenue for the fourth quarter was $574 million, growing 15% sequentially and 113% year-over-year, exceeding our guidance. The majority of the growth was from cloud driven by robust demand from hyperscale customers. Let me note that our on-premise data center business also grew sequentially and year-over-year. In the fourth quarter, sequential and year-over-year revenue growth was broad-based with multiple product lines contributing to the excellent results. We expect the demand outlook from cloud customers to remain strong, and we are also looking forward to the ramp of new design wins. At our Investor Day, we discussed our expectations for $400 million in incremental revenue contributions in fiscal 2024 from new cloud optimized wins, doubling to $800 million in fiscal 2025. Development of these programs is well on track with several products slated to enter production later this year and start contributing meaningful revenue. Since that update, we have won multiple additional cloud optimized designs. Similar to the wins in prior quarters, these chips are for a variety of networking and compute offload or acceleration functions in cloud data centers. We are expecting revenue contributions from these new wins to start as early as fiscal 2024 and then ramp more substantially over time. Both of these wins are incremental to what we had discussed at our Investor Day. In aggregate, in fiscal 2022, we have won over a dozen cloud optimized programs across multiple Tier 1 cloud customers. A significant number of these designs are for custom DPU implementations, reflecting the increase in the attach rate of DPUs inside cloud data centers. We expect this trend to accelerate in next-generation architectures. We are confident that we are uniquely positioned to win these opportunities with our leading portfolio of compute, networking, security, storage and high-speed electro-optics IP, all of them delivered on our cloud optimized 5-nanometer platform. In our electro-optics business, we are continuing to innovate. We are aggressively driving the road map to improve power performance in leading-edge technology nodes with our next-generation products. We have begun volume shipments of our 800-gig PAM4 DSPs, enabling customers to start deployment of 800-gig optical modules in cloud data center and AI network applications. We are confident that we are the industry's first PAM4 DSP supplier to achieve this production milestone. Let me now discuss a new product line we just announced for the emerging active electrical cable market. This opens up another avenue of growth for us in the data center, leveraging our core DSP expertise. Today, our PAM4 products are primarily deployed in optical modules, used in cloud data centers for long-reach, switch-to-switch connections. In the same data centers, short-reach connections between switches, between server to top of rack switches and in AI interconnects have traditionally used passive electrical cables for speeds of up to 50 gig per lane. None of these requires advanced signal processing today. However, in next-generation cloud data centers, AI, ML and other data-intensive workloads are pushing these short-reach connections to higher 100 gig per lane throughput. At these speeds, passive electrical cables have significant reach and performance limitations. To overcome these challenges, the industry is turning to active electrical cables, referred to as ADCs, which require advanced DSPs. To meet that demand, Marvell has introduced the industry's first 400-gig and 800-gig DSPs for the ADC market, based on our leading PAM4 SerDes technology. Our unique business model allows us to work with both cloud customers, as well as all leading cable manufacturers to drive an open ecosystem. Our industry-leading DSPs have enabled major cable vendors to complete development of their first ADC solutions. We are also working with multiple cloud operators to take advantage of this new growth opportunity. On the storage side, our leading process technology platform and PCIe road map execution continues to drive new design wins for our data center SSD controllers. During the quarter, we secured designs with our PCIe Gen 5 controllers at two additional NAND OEMs, making a total of three who are adopting the Marvell solution. Looking ahead, our team is also pushing forward with our PCIe Gen 6 development, and our customers are very excited about our road map. Moving on to our expectations for the first fiscal quarter of fiscal 2023 from our data center end market, we project revenue to grow sequentially in the mid-single digits on a percentage basis and more than double year-over-year. We are expecting another strong performance led by cloud customers across a broad range of products. We are also projecting the start of a strong ramp of our 400-gig ZR data center interconnect products. In fact, we are expecting this ramp to drive our DCI revenue to a new record in the first quarter, eclipsing the peak we had achieved in the 100-gig cycle. Even at this very early stage of industry adoption, we are excited to see the rapid growth of 400 ZR, and we expect to see a lot more growth over time. Looking forward, we see ongoing growth in the data center, including revenue contribution starting from the new cloud-optimized product ramps to drive another step-up in our data center revenue in the second half of this fiscal year and beyond. Turning to our carrier infrastructure end market. Revenue for the fourth quarter was $241 million, growing 12% sequentially and 45% year-over-year. These results were driven by our 5G business, which delivered substantial revenue growth of over 30% sequentially, exceeding our guidance. We benefited from the broader rollout of 5G technology and product ramps at multiple base station customers. Marvell recently announced a collaboration with Dell on their new suite of telecom solutions to help service providers enable their transformation to open cloud-native networks. This offering includes a codeveloped open RAN accelerator card using our proven OCTEON Fusion baseband silicon to deliver in-line 5G layer 1 processing. We continue to see strong traction on our 5G technology platform, resulting in another key 5-nanometer design win for a radio ASIC at a Tier 1 base station customer. Following the strong step-up in the fourth quarter, we expect revenue from the carrier end market to continue to grow in the first quarter of fiscal 2023. We are projecting revenue to grow in the low single-digits sequentially, while year-over-year growth is expected to remain strong at over 40%. Moving on to our enterprise networking and end market. Revenue for the fourth quarter was $263 million, growing 6% sequentially and 64% year-over-year, another strong performance from this large and growing Marvell business. As you heard in the opening remarks, this end market is going through an inflection. Hybrid work is here to stay, but the current networking infrastructure was never designed to support this flexible, seamless, connect from anywhere, immersive, and high video usage environment. Companies are now embarking upon an extended period of refreshing their infrastructure, becoming borderless, enabling new digital capabilities, massively increasing bandwidth, building redundancy, and beefing up security. You will also remember from our prior discussions that we have been winning designs with our refreshed products over several years in this end market. These wins have typically come with higher Marvell content, driven by new features such as multi-gig Ethernet and MACsec. As the upgrade cycle in the enterprise networking market gains momentum, we are beginning to see our customers starting to ship their new platforms where we have higher share and increased content. Looking forward, we expect enterprises will continue to modernize their networks. And as a result, we project ongoing growth to continue from this end market.  Let me now discuss a new source of growth for Marvell in this end market, custom silicon. We have a very successful custom business in the carrier end market and are also building a large revenue stream from hyperscalers with our cloud optimized products. We are now enabling the enterprise networking market to take advantage of our advanced technology platform. I would like to point out that these designs frequently pull through additional Marvell content across a number of our product lines. Our pipeline of opportunities is growing and we see custom silicon becoming another leg to the enterprise networking tool, adding to the ongoing growth from our merchant products. We expect revenue from custom products and enterprise networking to grow sharply to well over $100 million in fiscal 2023. In aggregate, we expect a very durable period of high growth from enterprise networking to strongly complement our cloud, 5G, and auto pillars. Looking ahead to the first quarter of fiscal 2023, we expect growth to accelerate in our enterprise networking end market. We are projecting revenue to be up sequentially in the mid-teens on a percentage basis and year-over-year growth over 70%. Its growth outlook reflects our expectations of higher supply to support our product ramps and the ongoing enterprise infrastructure refresh cycle. Turning to our automotive and industrial end market, revenue for the fourth quarter was $79 million, growing 19% sequentially and 134% year-over-year. Strong revenue growth in this end market is being driven by higher adoption of our Brightlane Ethernet solutions in a growing number of vehicles from multiple OEMs. Looking ahead to the first quarter of fiscal 2023, we are expecting strong sequential growth to continue from auto and a flattish outlook for our industrial business. As a result, for the auto and industrial end market, we are projecting sequential revenue growth in the high single digits on a percentage basis, while year-over-year growth is expected above 80%. Moving on to our consumer end market. Revenue for the fourth quarter was $185 million, growing 2% sequentially and 11% year-over-year. Growth in this end market is being driven by our SSD controllers, shipping into consumer-oriented platforms such as game consoles. Looking ahead to the first quarter of fiscal 2023, we expect revenue to be flattish on a sequential basis and continue to grow year-over-year, approximately in the double digits on a percentage basis. In closing, we delivered record results for the fourth quarter and fiscal year 2022, growing revenue well-above our long-term target model. We expect this momentum to continue. Marvell is uniquely positioned to benefit from the three most important growth opportunities in semiconductors; cloud, 5G and automotive. The transformation in the enterprise end market is also becoming another continuing growth driver for Marvell. We expect secular growth to continue from all our end markets, further supported by our large and growing pipeline of secured design wins, which will drive incremental revenue. We are also working to make sure that we grow in a responsible and sustainable manner. Over the past year, Marvell has taken meaningful action on evolving our environmental, social and governance strategy, setting new goals and increasing transparency. We've committed to achieving net-zero emissions as a company and are setting a science based target to put us on track to reach this goal. Building a more inclusive and diverse workforce is another important area of focus, and we have increased our outreach to traditionally underrepresented talent. I would encourage investors to visit our new ESG website to review the goals we've outlined and our progress to date. On behalf of Marvell's Board and leadership team, I thank our valued employees for the outstanding results they've helped deliver in the fourth quarter and throughout fiscal year 2022. Ours is a highly resilient team that has stayed focused and outperformed through an extended period of challenges and uncertainty. This is an exciting time for our company as we've hit an inflection point in our growth cycle and are seeing strong momentum in our businesses across the Board. I look forward to continuing to work alongside our exceptional Marvell team to address the numerous opportunities in front of us. With that, I'll turn the call over to Jean for more detail on our recent results and outlook.
Jean Hu: Thanks, Matt, and good afternoon, everyone. I'll start with a summary of our fiscal year 2022 results. We are very pleased with our performance in fiscal 2022, delivering record revenue and profitability while continuing to aggressively invest to drive strong long-term growth from the data infrastructure market. Revenue grew significantly by 50% year-on-year to $4.46 billion. GAAP gross margin was 46.3% and the GAAP loss per diluted share was $0.53. Our non-GAAP gross margin was 64.9%, expanding by 160 basis points, reflecting the increase in value and the differentiation we provide to our customers. Revenue growth and gross margin expansion, combined with strong operating leverage from our business model, drove robust growth in earnings for the year. Non-GAAP operating margin expanded by 860 basis points from 24.2% to 32.8%. And non-GAAP earnings per share grew 71% year-on-year to $1.57. Moving on to our financial results for the fourth quarter. Revenue in the fourth quarter was $1.343 billion, exceeding the middle point of our guidance, growing 11% sequentially and 68% year-over-year. Data center was our largest end market, driving 43% of consolidated revenue. Enterprise networking was next largest with 19% of total revenue, followed by carrier infrastructure at 18%, consumer at 14% and auto industrial at 6%. GAAP gross margin was 51.1%. Non-GAAP gross profit was $877 million or 65.3% of revenue, another record driven by rich product mix, reflecting our strong IP position and the leading product portfolio. GAAP operating expenses were $652 million and include the cost of share-based compensation expenses, amortization of acquired intangible assets, legal settlements and acquisition and divestiture-related costs. Non-GAAP operating expenses were $390 million, at the low end of our guidance range. GAAP operating income was $35 million. Non-GAAP operating profit was $487 million, up 115% from a year ago, growing significantly faster than revenue. We achieved a record of 36.3% non-GAAP operating margin, an improvement of 790 basis points from the prior year, reflects the strong operating leverage in our business model. For the fourth quarter, GAAP income per diluted share was $0.01. Non-GAAP income per diluted share was $0.50, up 72% year-over-year, exceeding the middle point of our guidance. Now turning to our balance sheet and cash flow. During the quarter, cash flow from operations was $346 million. I'm pleased with our strong cash flow generation while investing significantly in working capital to support strong revenue growth. We returned 51 million to shareholders through cash dividends. As of the end of the fourth fiscal quarter, our cash and cash equivalents were $614 million, and our long-term debt was $4.5 billion. Our gross debt-to-EBITDA ratio was 2.6 times and net debt-to-EBITDA ratio was 2.3 times. We are confident that we are on track to achieve our targeted gross debt-to-EBITDA ratio of two times by the end of the second quarter of fiscal 2023, at which time we expect to restart share repurchase. Inventory at the end of the fourth quarter was $720 million. $39 million of this inventory balance is from Innovium, due to purchase price accounting. We anticipate amortizing this step-up over the next two quarters. We have also increased our working process inventory to support the rapid growth in revenue we are forecasting. In summary, the Marvell team executed exceptionally well, delivering accelerated top line growth and strong earnings expansion significantly faster than revenue growth. Turning to our guidance for the fourth quarter of fiscal 2023. We are forecasting revenue to be in the range of $1.425 billion, plus or minus 3%. We expect our GAAP gross margin will be in the range of 49.6% to 50.6%. We project our non-GAAP gross margin will be in the range of 65% to 66%. We project our GAAP operating expenses to be approximately $672 million. We anticipate our non-GAAP operating expenses to be in the range of $430 million to $435 million. For the first quarter, we expect non-GAAP tax rate of 6%. We expect our basic weighted average shares outstanding will be 848 million. And our diluted weighted average share outstanding will be 863 million. As a result, we anticipate GAAP earnings per share in the range of a loss of $0.03 per share on the low end to an income of $0.05 per diluted share on the high end. We expect non-GAAP income per diluted share in the range of $0.48 to $0.54. Operator, please open the line and announce Q&A instructions. Thank you.
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question comes from Timothy Arcuri with UBS. You may now go ahead.
Timothy Arcuri: Thanks a lot. Matt, it seems like you're ahead of plan, and I'm wondering if you could update us on your fiscal 2023 growth forecast. And then also, as you look to fiscal 2024, I know you said you're going to grow more than 30% this year. But it seems like you can do better than that. Now, it seems like you're getting a little more supply. And then also, I think you had hinted that, well, maybe you can grow somewhere in that range also for fiscal 2024, because the fiscal 2023 guidance didn't include any work on -- in delinquencies. So I'm just kind of wondering if you can update us on those. It sounds like you'd be incrementally more confident that you can grow quite a bit higher, possibly, than 30% this year and maybe even 30% in fiscal 2024? Thanks.
Matt Murphy: Yes. Great, Tim. Thanks for the question. And, yes, just to answer, very happy that we're ahead of plan right now based on our strong outlook for Q1. Second, we do continue to get more supply. You saw that in our fourth quarter as well as in our first quarter outlook, which is very positive. I think -- as well, the order momentum continues to be strong. We had very, very strong bookings in our fourth quarter, which give us a lot of confidence in our 2023 outlook and beyond. And then, of course, new design wins, when you look out to 2024, also have us feeling very good. So, I think we're tracking really well across the board, and we're very pleased with the results we've got plus our outlook plus the long-term view.
Timothy Arcuri: Matt, can I sneak in a quick second one? I was wondering if you--
Matt Murphy: Sure.
Timothy Arcuri: Thanks. Can you sort of size the custom ASIC business? I know it's reported across different segments, but can you maybe add up all of the custom ASIC revenue and just give us a sense for sort of how big it is in aggregate today? Thanks.
Matt Murphy: Yes. Tim, this is an interesting question. We've actually gotten this on and off over the years. And just to kind of refresh the investors on the line, it's really hard to define this precisely because when you think about customization, you have a range of products and business models that we offer. For example, we have a full custom business in the traditional sense of the world. That would be an ASIC business that we picked up from Avera. But we also do a lot of semi-custom work or cloud optimized work as an example, where we work either with large hyperscalers or in the case of telecom with 5G to take the customer's IP and our IP and put it together. And then even in our merchant offerings, candidly, we end up doing SKUs and derivatives that have something special for what our customers want. So, I'd say that generally, it's not something we can even exactly quantify internally. What I would say is it's an absolute trend. It's the way the market is moving. You have to be able to have a rich set of intellectual property and flexibility in your business model and how you engage with your customers. And that's not just for the hyperscale cloud, Tim, it's also for 5G. It's for enterprise as well. And then in the future, I think this is going to be a key differentiator for us in automotive as well as what we call our flexible business model. But anyway, I think that's as much as I can say. It's a hot trend. It's the way the market is moving, and we're probably the best positioned company to take advantage of it.
Timothy Arcuri: Okay Matt. Thank you.
Matt Murphy: Thanks Tim.
Operator: Our next question comes from Vivek Arya with Bank of America Securities. You may now go ahead.
Vivek Arya: Thanks for taking my question. Matt, given that conditions are so supply constrained, how are you ensuring the quality of demand and the backlog and making sure customers are not just stocking up in product? And related to that is the strength in the enterprise market, which seems to be well above what conventional wisdom and history would suggest, but you seem to be incrementally even more positive. So, just thoughts on just demand quality overall and sustainability of the strength in enterprise?
Matt Murphy: Sure, Vivek. Yes, this is something we've been paying extremely close attention to, not just even in the fourth quarter, but really at the onset of this supply and demand imbalance as we were going through the pandemic. We have a very rigorous internal review process. We have very good end market data in terms of everything from how many base stations ship to the number of -- to which carriers are deploying, that would be a 5G example. And then what is our content as it relates to that, we gave very good data on the cloud deployments. We know how many servers are shipping. We can then calculate all, kinds of, things about, which products that we have attaching to those. Same with enterprise, et cetera. So we have an end market focus that we look at. We also -- because we're actually a very focused company, Vivek, we have a handful of major accounts that we go very deep with. And given the system-level nature of what we do, we have very good insight into what they're doing and what the needs are. On top of that, we've also put in place a very rigorous, I guess, engagement model with our customers, where the backlog is firm. We do have non-cancelable conditions on those orders. Reschedules are limited. And so we've gone through a process to make sure that as we schedule the backlog and we get bookings, it's actually what people want. And then we prioritize around that. And then finally, I would say that this crisis has brought, I'd say, the leaders of the chip industry and the leaders of the OEMs even closer. And so my interactions all the way to the CEO level of our major customers is another way that we triangulate. As it relates to enterprise, most of the growth here, Vivek candidly is a combination of significant content gain as the electronics inside these various pieces of enterprise infrastructure have migrated to things like multi-gigabit Ethernet. They've added things like security and MACsec. We've also -- and there's just more ASP per port as an example there. We've also been focused on this area. So if you look at traditional Marvell business in enterprise switch and PHY, we've gained market share through our offerings by refreshing the portfolio and staying competitive from a technical standpoint and staying focused on that market. And then we also have new product areas ramping, like custom silicon in enterprise, which basically, if you look at where we were a year ago in that custom area, I mean, that business is up dramatically year-over-year, and it's ramping very sharply in our fiscal 2023. So there's a lot layering in. And the trends are real, too. I mean, if you just look at what we even go through at Marvell and other major companies, as you bring people back to work. Things have changed over the last two years. And so there's an enterprise upgrade cycle that's also kicking in as companies spend to modernize their infrastructure. So I think it's a combination of those things. The numbers are dramatic in terms of the growth. We're excited by that, and we see this business continuing to grow in fiscal 2023 and beyond off of this already higher base of revenue that we're achieving.
Vivek Arya: Thanks Matt.
Matt Murphy: Yeah.
Operator: Our next question comes from John Pitzer with Credit Suisse. You may now go ahead.
John Pitzer: Yeah. Good afternoon guys. Thanks for letting me ask the question. Matt, congratulations on the solid results. A lot of things to highlight, I was wondering if you could spend a few minutes just talking about gross margins, both cyclically and secularly. Clearly, you're seeing some input cost increases in your supply chain. I'm assuming given how strong gross margins are your ability to pass that on is pretty high. But the real crux of my question is, when you guys talked about restructuring the ARM server business as more of a custom silicon business, you talked about how margins on that customer -- gross margins on that custom silicon side could be a little bit lower, op margins kind of neutral to the overall model. But ever since you kind of reset that bar, you've done a better job on the gross margin line. So I guess my question really is as you're getting into these custom engagements, are you finding out that the profitability is perhaps better than you originally thought?
Matt Murphy: Yes. Thanks, John, for the questions. And certainly, the solid results, in a large part, were driven by the very durable gross margin performance of the company. We're pleased to have set a record gross margin of 65.3% this past quarter. We also guided gross margins to be in the 65% to 66% range, which is, call it, at the mid. Then we went all the way up to the high-end range of our long-term model. So despite input cost increases and all kinds of challenges the teams faced, I think the quality of our engineering and the quality of the products is ultimately what's enabling us to maintain our gross margin in a range that allows us to invest back in the business. On your question about what happens with some of these custom products and when they start ramping and -- well, first of all, they've already started ramping, right? We're deep into high volume in cloud optimized silicon. If you look at our data center revenue, it's obviously our biggest segment within data center. The majority of that is cloud. Cloud on its own would be larger than any of our other segments. So there's already that contribution. And if you remember from our Investor Day, Jean had a great chart of our gross margins by end market. And if you recall, data center and automotive actually were the two highest ones, and those are also happen to be two of our highest growth businesses. So look, I think an individual product here or there that's lower gross margin, if you will, but higher op margin, to be honest, this business is already so large and it's growing so fast. We're able to deal with anything that might be slightly less gross margin than the average because we also have products like from Inphi as an example, that are growing even -- that are higher gross margin and are growing even faster. So I think that's the beauty of our model, John. We can actually grow this business. We can be aggressive to take large, high-volume sockets, especially in compute. And we could do that and still maintain the company's long-term target model on margins, which I think is a testament to the business model we've put together and the rich mix of products we have.
John Pitzer: Helpful. Thank you.
Matt Murphy: Yes.
Operator: Our next question comes from C.J. Muse with Evercore. You may now go ahead.
C.J. Muse: Yes, good afternoon. Thanks for taking the question. Matt, on the call, you talked about a number of new products that are ramping this year and beyond as well as new design wins. So curious, two-part question. First, are you including both of those -- or did you include both of those when you originally guided the $5.9 billion for fiscal 2023? And then as you think about these design wins coming into the model, is there a way to kind of rank order or highlight kind of the one, two, or three that you think are most relevant to the model into fiscal 2024 and beyond?
Matt Murphy: Sure. Yes, CJ, I think as it relates to the design win side and new products, I think a couple of things to think about. First of all, as I've said in my remarks -- and I just want to give a shout-out. Our sales field applications team and our business units absolutely knocked it out of the park this year on design wins. It was a significant step-up in achievement. We just went through our process to review kind of the final numbers. They did a great job. Our funnel is as large as ever with respect to the opportunities in front of us. The incremental wins that we've got, some of them do -- as we mentioned, they will layer in, in fiscal 2024 and 2025. Some of them may start a little bit earlier. But typically, when you get a new design win on a new product, it's typically not in the existing fiscal year. But remember, we've also got the revenue that's going to feed the $400 million, going to $800 million. That's looking really good, and that's also planned to start ramping in the second half of this year. So I think just the way to think about it is, the incremental wins we keep getting, in the cloud area specifically, really sort of are additive to the fiscal 2024 and 2025. There's not a lot that you see -- just wouldn't from a timing perspective, capture a lot of it this year. But I would say, at the same time, the ones that we already won are tracking very well.
C.J. Muse: Thank you.
Matt Murphy: Yeah.
Operator: Our next question comes from Blayne Curtis with Barclays. You may now go ahead.
Blayne Curtis: Hey, good afternoon. Thanks for taking my question. I just want to follow up on John's question on margins. And one thing we saw last month, your earnings, was that pricing kind of superseded future wafer costs. A lot of people saw a benefit in the first quarter and margins come down. So I'm just kind of curious, if you can talk about the kind of the strength in gross margin. And then just, I wanted to make sure that this is a level that you kind of build off of and it wasn't that same dynamic a lot of other companies saw through earnings.
Jean Hu: Hi, Blayne. Thanks for the question. I think, we have been in a very tight supply chain environment. So we have been dealing with the cost increase, price increase on the supply chain side for a long time now. For us, our team will work with the suppliers and customers closely and really try to just offset the cost increase during the whole thing. We have a very long product cycle. So we can plan ahead. Our gross margin is primarily driven by the end market mix that Matt talked about earlier. If you look at this Q4 and Q1, the guidance, we are very pleased with the gross margin, but largely because the data center is growing really fast. Automotive, they are growing really fast, Enterprise market, end market gross margin is also very strong, continue to trend up. So overall, if you look at our mix, that really drive our gross margin. For the rest of the year, it will be the similar situation in any given quarter. It largely depends on the mix.
Blayne Curtis: Thanks, Jean.
Operator: Our next question comes from Joe Moore with Morgan Stanley. You may now go ahead.
Joe Moore: Great. Thank you. I wonder if you could touch on the supply-demand situation a little bit more. You said delinquencies are still kind of rising, but you are getting more supply. Any progress on getting lead times down? And can you tell, in a lot of these cases, are you still kind of the bottleneck is your product to constraint, or is there any possibility of your product kind of waiting for other chips to arrive?
Matt Murphy: Yes. Hey, Joe, great question. And you've been doing this a long time like me. It's shocking to say, I never thought we would be at this point in this cycle. But, yes, the gap between supply and demand has actually grown. And we look at our -- some companies call it unfulfilled backlog. We -- I was raised in the old school, which is calling it delinquency. But that number continues to rise each quarter. It rose in the fourth quarter and it will also rise in the first quarter. So, demand is very strong. Now I think we're -- so -- but yes, we're getting more supply. And you see we're actually exceeding our guidance from last quarter and our Q1 guide is very strong, both sequentially and year-over-year. But we're still having to grind hard with our suppliers to get more of what we need. We've moved -- although I'd say, dramatically, we've -- our position within the supply chain, I think, relative to the key suppliers we engage with understanding our opportunity, I mean that has been a big transformation over the last year. And hats off to our team in operations, led by Chris Koopmans and also our business units and even myself personally engaging up and down the supply chain. So, they understand our opportunity, which is, I think, helping us. And we just continue to prioritize, Joe. It's -- I'm very close. I'm personally involved with all the major accounts. We've managed to not be the long pole in the tent or if we were, it wasn't for very long. So, we've been able to sort of stay barely ahead but -- and we're satisfying customers. We don't have anybody line down that I know of right now, but it gets tight as we continue to ramp and customers have designed us in. But I think we're managing it very well, and we'll continue to just be very tactical in the short-term to get the supply we need to match it to the right demand, make sure we're not building inventory, and do our best to manage through this unprecedented cycle we're in. And I think the final thing I would say is it's a cycle that we haven't seen at least in terms of the strength and the duration. And I think on top of that, with Marvell, given our increased market share, the end market exposure we have with the secular growth drivers we have, that's making it even -- creating even more pressure on us given those dynamics. But we're up for the challenge. And I think our team is doing a great job, and we'll continue to work closely with our customers to make it happen.
Joe Moore: Thank you very much.
Matt Murphy: Yes.
Operator: Our next question comes from Tore Svanberg with Stifel. You may now go ahead.
Tore Svanberg: Yes. Thank you and congratulations on the record results. Matt, I think a big highlight at least from me this quarter is what you said about custom enterprise business and if you look your carrier and your cloud, I think it's pretty obvious -- like a handful of companies. But enterprise is probably a much bigger group of companies. Could you just elaborate a little bit on that? I mean, on the custom enterprise side, are you actually going to be working with more than perhaps a half dozen companies?
Matt Murphy: Well, like everything, Tore, ultimately, even though there's certainly a broader set of OEMs and diversity of applications in, let's call it, the enterprise market than maybe people that make base stations. The reality is the folks that can afford or want to do a full custom design is a narrower subset. That being said, I think our ability to do this kind of optimization, if you will, without maybe having to do a full custom design, that's one advantage we bring to the table. That's a little bit of a different business model. And then -- but yeah, it's multiple customers that we're engaged with. And they want a lot of the same things, including all of our high-performance IP. They want 5-nanometer going to 3-nanometer. Actually, our capability in compute is very attractive, especially as a lot of the trends in the hyperscale now, Tore, are starting to manifest themselves in the enterprise. And people are looking to do acceleration in an offload fashion. In our DPU -- OCTEON DPU capability, whether we sell it as a card or we customize a chip and then somebody else puts the solution together, there's a lot of really interesting things going on in the enterprise. And then finally, even on the core processing opportunity as well, our latest OCTEON 10 product is very competitive in the market. It's the most competitive one we've had in 5-nanometer. So anyway, much broader, obviously, set of opportunities than we had before, Tore. But going back to your comment, yeah, on custom enterprise, we're really pleased with the uplift in revenue. And we're also pleased with the pipeline we have there, because these products last a long time. And the overall profitability and gross margin profile of the enterprise business in Marvell is -- Jean showed this at the Investor Day, but it's about where the corporate average is. So very healthy gross margins, broad set of customers, broad set of applications and very long product life cycles that are very sticky once you get designed in. And we're able to pull-through other sockets. I mean there are -- in Ethernet-based designs as an example, you can pull through the five. So there's a lot of great things going on in enterprise.
Tore Svanberg: Thank you Matt.
Matt Murphy: Yeah.
Operator: Our next question comes from Srini Pajjuri with SMBC Nikko Securities. You may now go ahead.
Srini Pajjuri: Thank you. Hi, Matt. A question on the 400ZR cycle. You said, it's going to grow in Q1, but you also said something even more interesting that it's going to be high -- I guess, you said the revenue is going to be higher than the previous peak. I know we are in very, very early days in this cycle. So if you could just talk about what's driving that strength? And also, if you could put into some perspective, how big you think the SAM is going to be versus the previous, I guess, that 100ZR, I think that would be very helpful.
Matt Murphy: Yeah, sure. And just to clarify, when we talk about the peak, I'm including the original 100-gig products, which is COLORZ, right, which was developed by Inphi, and now we have COLORZ 2, which is 400 gig. So COLORZ, when it was, sort of, at its peak, was about $100 million run rate for Inphi and then as -- into Marvell. And so what we're saying now is that COLORZ, COLORZ 2 total contribution, it's at a peak revenue. The DCI contribution, the DCI revenue of that -- the DCI product line, if you will, is going to be at peak revenues in Q1 and then grow from there. In the past, on 100 gig, it was really driven by one customer, and that was almost a semi-custom like engagement. In 400ZR, there are multiple hyperscale customers that we're working with. We'll have multiple customers. And it's the start of a very exciting ramp on our products. And this is a transition that we've all been waiting for, but it's here, and it's contributing to revenue now in Q1.
Srini Pajjuri: Got it. Thank you.
Matt Murphy: Yes.
Operator: Our next question comes from Harlan Sur with JPMorgan. You may now go ahead.
Harlan Sur: Good afternoon and congratulations on the strong results and execution. On your cloud optimized ASIC and some of your DIY design win pipeline, $400 million target in fiscal 2024. I think, Matt, you said that you're on track for doubling that in fiscal 2025, fiscal 2026. so now that you guys are deep in the design phase for many of these products at 5-nanometers, can you guys just give us a sense of the types of chips you're developing for your cloud customers? Is it primarily AI and machine learning acceleration? Is it video transcode? Is it custom DPUs, surplus CPUs, et cetera? And then any color on this point would be great. And then just as important, is the team already starting to engage on early 3-nanometer programs with your cloud customers on their next-generation ASIC programs?
Matt Murphy: Yes. Well, it's a great question. And I think you understand quite well the sensitivities we have with respect to these types of engagement with the hyperscalers. I would say, it's between what we've won and the pipeline that we're pursuing, it's pretty much all of those applications that you're discussing. It's acceleration primarily. And it could be for things like video. It could be for things like security or storage. There are networking ASICs that we're doing that are very customized. There's compute. There's custom DPUs, if you will. Think of it as -- and then by the way, we said some of this. I mean the – as you look at sort of the SmartNIC opportunity -- and we've been saying this for a while. There is a lot of customization going on in that segment as well. So it's a wide range, Harlan. There's no sort of one trick pony in here -- and in aggregate, they're all tracking extremely well. And we gave a very judged view, by the way, when we gave those numbers. So obviously -- maybe not obviously, but our customers' forecasts are actually higher than what we gave you, but that's sort of our baseline. But we've now won incremental designs, which would layer on top of that. So I think it's all positive, but our ability to get super precise at this point without a customer announcement would be a little bit tough.
Harlan Sur: And you guys -- are you guys already engaged on early 3-nanometer?
Matt Murphy: Yes. Sorry, yes. So we're very engaged on 3-nanometer, Harlan. I mean that's actually a key part of -- to be honest, why we've been winning in 5-nanometer is having that very committed, very rich 3-nanometer IP portfolio underway. And we're in deep architecture discussion now on multiple products and in multiple end markets, by the way, from cloud to 5G to enterprise about using our 3-nanometer platform. So we're on the nanometer train, and we're fully committed and we're executing quite well on our road map and customers are excited.
Harlan Sur: Yes. Strong momentum. Thanks, Matt.
Matt Murphy: Yes. Thank you, Harlan.
Operator: Our next question comes from Christopher Rolland with Susquehanna. You may now go ahead.
Christopher Rolland: Thanks for the question. I also want to echo my congrats. You mentioned a new opportunity here, Matt. AEC -- or DSP for AEC. Basically, I guess my questions are, what's the timing on this product when it comes to market? How big do you think this market could be here? And ultimately, are you guys in a position to take majority share? Thanks.
Matt Murphy: Yes. We're pretty excited about this transition in the market, Chris, as you -- and I said some of this in my prepared remarks. But traditionally, this type of active cable hasn't been needed or at least the last generation that -- where it was needed was based on NRZ technology. So a little bit like we did -- and I'd say we, meaning, us and Inphi. We intercepted the market as it's about to take off in growth at 400 and 800 with PAM4-based technology in 6-nanometers. So this is -- think of this as just right in our wheelhouse in terms of leveraging what we've already got, but then optimizing the products for the specific application. Our partners -- and we've done some announcements. We've done a whole flurry of them. You've probably seen them around OFC coming up. But we're engaged with all the major cable manufacturers that supply to the hyperscalers. Are -- those cables are available. They're sampling to customers now. We're working directly with the cloud customers on additional enhancements to the road map. But we are going to be a force to be reckoned with in this market. And it's a perfect fit for us, because when you think about sort of having all the pieces, if you will, having the switch, having the optics, having now the AEC products, having the DPUs and that insight into the -- and then also ASICs that sort of hang around all these things in interface. We have a unique opportunity to really work with our customers to optimize the full solution. And that's something that maybe companies that only have one piece of the puzzle don't quite see what's exactly happening. So very excited about this. This is an incremental opportunity for us. Market size, depending on who you talk to, some are saying it's $1 billion-plus. I think -- but we'll see. We're optimistic that it's a big opportunity for us. We're still sizing what we think it means for Marvell, but we're in the market today.
Christopher Rolland: Exciting. Thanks, Matt.
Matt Murphy: Yes.
Operator: Our next question comes from Gary Mobley with Wells Fargo Securities. You may now go ahead.
Gary Mobley: Hi, everyone. Thanks for sneaking in my question. I know you haven't filed your 10-K yet. But as it relates to that, is there anything notable with respect to purchase commitments on your behalf with your foundry partners, specifically, that's quantifiable and then as well, purchase commitments and CNRs they're called with respect to your customers?
Jean Hu: Hi, Gary, this is Jean. Yes, we have not filed 10-K yet. But as far as the purchase agreement, as you know, last quarter end, we have about $3 billion commitment we are engaging with our suppliers to ensure we have the capacity not only for this year, next year and for longer term. So as you probably noticed, a year ago, this is just $200 million. So we have increased our commitment significantly. You're going to see going forward, the same trend is because that's really the driving focus of the company to make sure we have the capacity to support our customers.
Matt Murphy: And Gary, I would add, as Jean indicated, you can kind of follow the trend line. The engagements now, as we talked about -- you can actually directly relate them to some of the prior questions we had about our cloud optimized ramps in fiscal 2024 and 2025. We're planning our business out even beyond that with respect to some of the key capacity we need on the critical technologies that are required, substrates and various other pieces of the supply chain. So, you'll see that trend continue as we plan our business actually multiple both with our end OEMs and then our key supply chain partners to make sure we're all in lockstep to meet these very, very steep product ramps that are going to be required over the next few years.
Gary Mobley: Thank you, Matt.
Matt Murphy: Thank you, Gary.
Operator: Our next question comes from Matt Ramsay with Cowen. You may now go ahead.
Matt Ramsay: Thank you very much guys for letting me on. Matt, I wanted to ask a quick question about the -- given that cloud is such an important part of your business. My own observation is that a lot of things are coming in the data center space in the next 12 months with Sapphire from Intel, with General from AMD, with PAM4 400-gig optics and a bunch of other things that are really to me to have a pretty big upgrade cycle in the data center spending space. And I wonder as you engage with your customers, how you're -- do you agree with that? Do you see an inflection in sort of pent-up spending given maybe Intel's road map has held back some things on lack of clarity? I just wonder how you would characterize over the next year or two the hyperscale spending environment as you guys see it today? Thanks.
Matt Murphy: Yes. Thanks, Matt, and welcome to the call. So, I think you're absolutely right on the trends that we're talking about here. I think as we have new processor refreshes, new server refreshes and then there's all kinds of chips, by the way, that are going to flow into the equation as well, not just the sort of the server itself, but then the acceleration that's going to be required, the new workloads, different AI, GPU clusters. I mean you just start going through all of the trends. And that is underpinning the ultimately, the silicon sort of architectures are underpinning fundamentally the cloud CapEx and what's needed. So, we -- as these new cycles come in and there's an inflection, it's really good for Marvell. And the PAM4 400-gig opportunities one, just great example. But our design win position on the new systems, right, in the new architectures that are coming, the content is just much higher, whether it's per data center, per server, you name it. And so I think that's exciting to us. And yes, there's been some delays from certain suppliers here and there. But as those as that roadmap gets executed and that transition happens, there's a lot of uplift for Marvell. And that is kind of another way to back into some of the growth that we're seeing and projecting that.
Operator: This concludes our question-and-answer session. Thank you for attending today's presentation. You may now disconnect.